Operator: Good morning, and thank you for waiting. We would like to welcome everyone to Ambev's Second Quarter 2015 Results Conference Call. Today with us, we have Mr. Bernardo Paiva, CEO for Ambev; and Mr. Nelson Jamel, CFO and Investor Relations Officer. We would like to inform you that this event is being recorded and all participants will be in listen-only mode during the company's presentation. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Ambev's management and on information currently available to the company. They involve risks and uncertainties and assumptions because they relate to future events and, therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Ambev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual, the percentage changes that will be discussed during today's call are both organic and normalized in nature, and unless otherwise stated, percentage changes refer to comparisons with Q2 2014 results. Normalized figures refer to performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of Ambev's normal activities. As normalized figures our non-GAAP measures, the company discloses the consolidated profit, EPS, EBIT and EBITDA on fully reported basis in the earnings release. Now I'll turn the conference over to Mr. Nelson Jamel, CFO and Investor Relations Officer. Mr. Jamel, you may begin your conference.
Nelson Jamel: Thanks, Scotia. Hello, everyone, and thank you for joining our 2015 Second Quarter Earnings Call. Today I'll walk you through our results and Bernardo will give his remarks at the end before moving to Q&A. To start with our consolidated results. During the quarter we delivered a 10.3% net revenue and a 13.8% EBITDA growth with an EBITDA margin expansion of 130 basis points. Year-to-date, our top line is up 12.5% and EBITDA up 17.8% with EBITDA margins spending 200 basis points. In Brazil, by the headwinds, we delivered another quarter of solid EBITDA performance growing 8.8% in the period and closer to first half before 13.9% EBITDA growth. EBITDA margin was upto 210 basis points reported 6.6% in the quarter, and 280 basis points in the first half of the year, with an average margin of 49.7% year-to-date. One of the beers Brazil came under pressure in the second quarter and were down 8.6% mainly driven by the difficult type of base of the 2014 FIFA World Cup coupled with unfavorable macroeconomic environment. As a reference, last year our foreign liquidity was 7% in the second quarter, we finished making to 5.5% benefit from the World Cup. On the other hand, the premium in near beer continue to grow help expand the beer category and driving that positive price mix. Indeed, our net revenue product was up a strong 15%, more than offsetting our volume decline. Along with the benefit of premium near beer, the performance was also driven by our revenue management initiatives, a higher wave of direct distribution, and the musical base given the promotional environment during the World Cup last year. Moving to CSD and NANC, the second continue to more impacted by the macro backdrop than beer. We estimate the industry was down 7% in the quarter, however, we continue to expand our prices in soft drinks, reaching an all-time high average market share of 19.6% in the second quarter driven by strong performance year-to-date of Pepsi, Guarana Antarctica and Guarana Antarctica Black in January. With the industry decline partially offset by our market share gains, our volumes were down 6% in the quarter. Net revenue product using CSD and NANC was up 3.1% as our prices strategy in line with inflation was offset by an active product and general mix. With that, our top line in Brazil consolidating beer, and CSD and NANC was up by 3.1% in the quarter with a significant tax on the vodka provided hard crops. Year-to-date, our net revenue is up 7.4% within the range of mid to high single digits we continue to expect by the full year. Brazil COGS was up 2.9% while cash COGS was down 0.8%, productivity to base our cash COGS included 7.7% below average inflation benefiting from procurement savings and better commodity hedges, mainly sugar in soft drinks, while negatively impacted by higher effects hedge, lower dilution of fixed costs and product mix, along with the higher inflation in Brazil. Gross margin was up 30 basis points, but to an anticipated position that increased 29% in the quarter given the recent CapEx investments. Cash COGS as a percentage of net revenues was significantly down by 140 basis points. Year-to-date, cash COGS in Brazil was up 3.4%. We continue to expect our cash COGS in Brazil to grow mid to high single digits in the full year. Cash SG&A was flat in the second quarter with a strong deceleration versus Q1 benefiting from cost savings mainly in our fixed and no working money base, and from a higher comparable basis also associated with the 2014 FIFA World Cup sales and market expenses. High distribution expense driven by increased ways of direct distribution were also offset by the volume decline. Year-to-date, our cash SG&A is up 6.4% below inflation, as expected for the full year. Now moving to Central America and the Caribbean, we delivered another very strong quarter with EBITDA up 35.4% due to BRL151 million. This performance was mainly driven by double-digit volume growth in all of our main operations and solid EBITDA margin expansion of 550 basis points. Similar choice in Brazil, we continue to grow top line in Dominican Republic by connecting for consumers through relevant marketing platforms such as Bebidas [ph], the electronic dance music festival in the Caribbean. Innovation has also been an important driver, we have just launched Presidente Black, a premium extension of the beloved brand Presidente. In Guatemala, we had another quarter of market share gains with great contribution of Corona and other Modelo brands, along with strong top line across our main operations. Our EBITDA performance also benefited from our solid financial disciplines, leverage on both cost and expense savings, mainly in Dominican Republic, expand on EBITDA margin for along the quarter. Year-to-date, our EBITDA margin is 770 basis points up driving EBITDA growth of 53.4% in local currency, in reais, our EBITDA is up more than 90%. Our growth for the region remains on track, we keep working on our top line opportunities in the region both organic and inorganic while improving our operational excellence in the region to drive EBITDA expansion. In Latin America south, our EBITDA grew over 61.6% with an EBITDA margin expansion of 340 basis points. Our volumes were up 7.1% in the region, mainly driven by Argentina, we experienced a very favorable weather during the quarter while also benefiting from the news comparable base as if what was in the currency decline high single digit in the second quarter last year. But moreover, after the mix that you will hear, we launched mixed deal in Argentina driving great incremental, we estimate that more than 70% of the volumes we get from mixed deal will come from order categories. And the red representing close to 2% of total volumes in the country, another great example of our successful initiative in the near beer opportunity. Elsewhere the distribution of Corona in Chile, and the rollout of the 240 million borrowing in Paraguay were important drivers for volume growth for the region as well. Top line was also having been at solid net revenue product to either performance, mainly driven by one of our revenue managed initiatives mainly in Argentina as we continue to face a high inflationary pressure, and two, a higher mix of premium with strong performance of Corona and Stella Artois in our main markets. Regarding quarter expenses, we remain pressured by high inflation in currency hedges mainly in Argentina, with a rate impact to top line growth and procurement savings initiatives, expanding our margin and driving the robust EBITDA growth. Year-to-date, our EBITDA is up 37.4% to local currency or 63% in reais, with an EBITDA margin expansion of 90 basis points. Going forward, we remain confident in our ability to totally result growth for Latin America while protecting our profitability despite a tough macroeconomic environment. Now to Canada, volumes decreased 1.6% driven by industry growth and a sixth quarter in the row of market share gains with solid performance of Corona, Budlight, and our innovations. During the quarter we maintained a strong momentum on our commitment on balance between price and volume. We refer revenue managed initiatives and product mix drive the growth ahead inflation. Top line was up 3.5% to the second quarter and in the first half, 4.5% above last year. EBITDA performance was impacted by higher costs, primarily explained by unfavorable hedges while cash SG&A expense rose above inflation, mainly driven by phasing of our sales and market expense. EBITDA declined 2.9% this quarter while in the first half it is up 0.9%. Going forward we remain excited with the volume opportunities of premium beer and committed to balance that revenue, product year and market share to deliver profitable growth in Canada. Before moving to the main items below EBITDA, I'd like to explain onetime to BRL130 million expense reported on the special items in the quarter. These related to the agreement mentioned between numbers and credit, it was it should definitely shadow the losses associated with the pro-consumable market program. The premise was ended years ago so there is no impact on our commercial practice or based operations. With the settlement there is no other pending cadre investigation or lawsuit that we are aware off. Now moving below EBITDA. Our net financial result were a negative BRL362 million, with core performance mainly impacted by higher non-cash accretion expenses in connection with the put associated with our investment in Dominican Republic; and loss from derivative related implementation of our hedging policy. Our effective tax rate for the quarter benefited mainly from interest on capital closing at 6.1% of the quarter and 16.8% year-to-date. As a result, our normalized profit increased 7.3% in the quarter to BRL2.830 billion. Year-to-date our normalized profit is upto 80.2% to BRL5.8 billion. We generated a total of BRL4.3 billion of cash from operations, a 46% increase versus last year, as a result of strong operational performance, favorable tax translation from our non-Brazil operations and better working capital management. Year-to-date we have originated BRL8.2 billion of cash on operations, a 45% increase year-over-year. As for CapEx, was invested a total of BRL1.9 billion year-to-date of which BRL1.4 billion in Brazil, up broadly in line with last year's figures. During the quarter, we paid BRL1.6 billion in interest on capital, and we purchased BRL400 million of own debt shares bringing the year-to-date total payout figure close to BRL7 billion, a 17% increase versus the same period last year. I'll move now to Bernardo before going to Q&A. Bernardo, please?
Bernardo Paiva: Thank you, Jamel. Hello everyone. It's been six months of different challenge across our region, in region it's great to see that our team was able to deliver solid results for another quarter reaching strong double digit top line and EBITDA growth year-to-date. But are not here for one or two quarters and we know that the challenge going forward will be no different across the markets where we operate. With that in mind I want to concentrate my remarks in Brazil. We've just been through some massive very difficult comps, couple of different editors, macro environment. Even then we focus on the things we control. Our plan, top line plan that we have for the future that we'll comment later and this strict cost discipline continue to drive our top line growth and margin expansion to deliver 30.9 increase in EBITDA in Brazil in the first half of the year. Going forward, we expect that the external macroeconomic environment remain a challenging one but our strategy will not change. We will continue to focus on the performance, the top line ones, with a big, big focus on operational excess. On the later, I have been stressing this a lot with our team, there is significant opportunity to actually improve what we do in a more efficient way. Tech knowledge for instance has been a clear driver for this and it continue to move in this way. We want to be better and even more efficient than we are now-a-days, and this is the time to put this hard. Regarding the top line and the plans to have for the future, these are the levers under our control; to continue to drive a sustainable top line growth. First, it always starts by levering our core brands. Our brands are not only the biggest by volume but they are the converted ones. We find even bigger preference in volume share, by further enhancing the acreage of our brands will evade our volume and price mix potential. Affordability remains priority, especially in moment like this. We continue to focus on peg price and returnable glass strategy. Returnable actually gained share versus one-way in this quarter, mainly driven by mill [ph], that's growing volumes year-over-year, boosting the presence in the rate channel. So we start to see returnable bottles in channel upto many, many years. So that's great news. Revenue management also plays an important role to drive further reach. Beer inflation is running below over our inflation year-to-date, helped by a renewal and big pressure obsession for price point optimization in every part that it is. As I could not talk about our core branch, it was not mentioning the launch of Skol Ultra, a totally newly equipped targeting the active lifestyle in new state. Skol is an official sponsor of the Rio 2016 Olympic Games, and Skol Ultra roughly fits this opportunity further enhancing the brand active of other brand that is Skol. Second, a not important platform is to accelerate premium. The premium segment has been an important driver to price mix in a higher margins, going forward with industry, but this opportunity is still big, that's why a realistic rate implement portfolio and dedicated execution, activation, demand and expanding our domestic, international, and high end workforce. Third, we are very pleased these are the performance of this [ph] in the near beer fight driving not only incremental volumes but better margins, much better. In early nine months since its launch, since already got a final breakfast we score target and a relevant volume, with an opportunity to beat even bigger. We just saw the mixed effect and the volumes that we saw in last. This will help us to get a higher share of the total collate beverage space already in second half, more to come in our near beer fight. Fourth, in home, we continue to step up how we will execute the stores in the straight channel, increasing the space of beer gallery in the stores, and improving the assortment of our products while also focusing affordability. By expanding, as I said before, we've done rolls in this channel. The turn up was already accountable more than 15% of volumes in supermarkets driving affordability in a profitable way. And fifth, in other form we have a great opportunity to improve even further debar in overall home trade experience through innovations like ScrollQ, ScrollDesk, and market programs like Quotes-on-Desk, Micro Events platform. This is our plan and we remain committed big time to continue to deliver on it, therefore, there is no change in our guidance for Brazil. So now, let's move to the Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Luca Cipiccia of Goldman Sachs. Please go ahead.
Luca Cipiccia: Good afternoon, and thanks for taking my question. I was hoping to – you could have operated been more on the volumes in Brazil, clearly the work of the impact was very sizeable and easy to identify. Still, if we take that out, volume was still down I think 2% or 3% on our calculation. My question is more – which again, is very entirely surprising, but – the question is, are you seeing sequential deceleration, if you've seen that throughout the quarter? I don't know if there is anything you can share about July not to be too sure to have focus but just to understand how things have developed throughout and how should we think about volumes going forward? And on the comments, on the second half, on the new initiative, maybe if you can discuss as well, you hinted to more initiatives in the near beer segments, would this require – is this refers to more declination of the Skol Beats concept? Does it – should we think about that that of innovation more broadly whether there is a category of the brands and similarly you mentioned of the smaller acquisition that you've done in Craft Beer but I don't know if you're in this call, maybe you can share a little bit as well, what type of boost you expect to give to that space, just very small as it is but what do you think that could fit in the portfolio, maybe more in the medium term, if right now we're in the immediate future is not going to be particularly large. Thank you.
Bernardo Paiva: Okay, Luca, thanks for the three questions, I'll start with first one. The volume uptick, it's no question that we are facing tough environment of their macro environment, that's not the first time. So I mean I have been here operating moments like that for the last 25 years, I'm 25 years in this company and someone ends like that in the past. And we have a great team here that knows how to really deal with macro environments and not help us. Having said that, we continue to focus in the short term, in the long term it seems that we can really control and make the difference. So the top line focus that I said to you before, starting of LLB in core brands, we are doing well, Skol's performing much better, even better is here affordability is key as I said in the comment. It's a very important move for us that would be for the future in the sense that you have bringing back returnable bottle, so the after rate channel that's there, very important. Premium growing a lot and helping us, international premium Budweiser, Stella, Corona, helping – are starting to really have a very good volume with very good price. And near beer, as I comment later like in the answer now, for you, I think that it's important not only to launch a product but to launch a product and really go end-to-end. So launch is the not the first one that gathers but really assure that you have a sustainable fund for the future. Yes, we'll have a pipeline of innovation ready to go in the future, but we don't like to go one to a mass and then other one prefer to go end-to-end and really get the full volume of each of this year, bit sense or more things to come in the future. So the pipeline of near beer, it's very strong, very well tested, and we're very positive about that. I cannot comment more than that. And then the other one as I said was a keeping home, I mean really making great experience for the shoppers, much better than to us for and then helping that – the channels as well, the chains, sorry, to sell more and sell more beer and we sell more as a consequence, and returnable bring it back in. I recall that the bars, it's all stressed, big, big stress here in terms of volume and in terms of bringing experience. Going forward in the sense of that guidance I mean, we would still remain 100% sure that we will get our top line guidance. And then we will – another gate, in the macro environment and adjust the levers to get to the guidance that to deliver to you guys in the beginning of the year and then we reinforce that. Needed to the small brewers, the gross brewers that we brought here, and the most important thing is that which volume of rent, I think that I understand the mid states and the occasions that people, I mean, drink beer, and not only beer, we are able to address with different brands those occasions. So yes, some past brands like we brought true now [ph], they are important, they are good, but the main growth will come from the international premium, domestic premium, original and more things to come in this side. And I think those brands will be important part of the approach, sums up the portfolio of brands that we will put in the market and then fulfil the needs taste that we understand very well and the occasions that we dosing the states. So I think the portfolio gain is the gain, not specifically one brand.
Luca Cipiccia: Okay, thank you.
Bernardo Paiva: Thank you, Luca.
Operator: The next question comes from Fernando Ferreira of Bank of America. Please go ahead.
Fernando Ferreira: Thank you. Good afternoon, Jamel and Bernardo. I have a outlook question on Brazil beer. And my question is related to the balance of volumes and pricing rights, given how on balance this accretion was in the second quarter. We view that this is the time to refocus on it based on volumes and maybe give back a little bit of your strong revenue, perhaps leader, just wanted to get a sense on that given that your market share is back to the low of your historical range, right. And in that same topic, if you could also breakdown how much of your 15% of revenue per growth came from price of consumer mix and the easy also comes relative to last year? Thank you.
Bernardo Paiva: Thanks. Very good question, Fernando. First of all, I mean in terms of net – that being our mantra for many, many years to raise pricing line of inflation. So we have been doing that and that we have to bear in mind that beginning of the year inflation was around 6%, I mean the forecast and that was 9% right, and little bit plus in that. So this is the first thing. So we continue to remain and we stick to our mantra that price will go in line with inflation. Secondly, the obsession of mixed management for the company had person – it's very important industry is strong believer to drive net revenue, net revenue not only for active but net driver in general, and then have some parts of that. First one, brand, in terms of managing the mix to drive the right brands and we are doing that. Not only the premium brands, the one you see the one roof Bud as well as, the most profitable mainstream brands. So a mix of brands, mix of packs very important. So our internal mix of [ph] is not to grow again, that's very important because in terms of top line net revenue don't see too much difference but in terms of the market line and the EBITDA line is important, an important help for us in terms of EBITDA in cash because they are not profitable packs. And the third one, that I mean, this dive instead is the mix of creations. There are many reasons that the portfolio that we have is still not profitable for us. With data in net revenue, we're at full and better market as well. And then we are doing this, and we know that all the research that to have in the market that track market share, I think over a part of the markets but it didn't cope 100% of the market. And then we are going to some places in Brazil and selling our brands there and selling very, very well with a very good price, they are not usually cover for the research that we have. So to give an information for you guys for instance, our SEQUOB number, market share for the first half of the year, it's a fair number in the sense that withe can – I mean mitigate the inventory effect, it is likely above next year. So part of this is likely reason why the – I mean, the current recessions have had. In the market with part of that, they are not able to read. So in the sense of this balance, in terms of market share, we could say based on the external research and the external numbers, internal numbers that we have – first of all the year we are at least in line with last year, slightly above with last year, and at the same time mix is helping a lot of net revenue. Folks say to you – what's a bull net revenue for Acto, half is the World Cup effect, the promotion there to have last year and half is mix management. So that's why you close the gap from the inflation to the total revenue that you saw before. And again doing that driving RGB, that's good for the short term and for the long term, we've put market share that according our internal numbers and SEQUOB, is likely above this year and including if the number is in the range as we've always said a 67-69.
Fernando Ferreira: Perfect, thank you.
Bernardo Paiva: Thank you.
Operator: The next question comes from Lauren Torres of UBS. Please go ahead.
Lauren Torres: Yes, hi everyone. In the quarter you mentioned that you were impacted by unfavorable currency hedges but was partially offset by better commodity hedges. So I was just curious to get your perspective as we think about the rest of this year and stuff you want to touch upon next year. Seeing the weaker currency and selling that as a percentage of your cost per dollar denominated, how do you manage the currency risk and any visibility on your commodity exposure would be helpful too. Thank you.
Bernardo Paiva: Sure Lauren, thanks for your question. As you know, I mean before hedging bolus [ph] what we have for this year, is already locked and when we make the announcement, rightly begin the year, the result should talk about for instance FX being a next impact [ph] with an average effects in COGS of BRL2.30 per $1 knowing that's roughly 40% for COGS the dollar denominated. So again have a four digit and it's embedded in the guidance we gave first on the 2015 so we shouldn't accept any surprise there. Again, with the hedging bolus which way, we hedge not only our effects but also our commodity exposure around for an average 12 months in advance. I think important to emphasize I mean briefly 16 because we're not providing any specific guidance at this moment, with the peak of 2016, actually one of the was of the hedging policies, we need to give the appropriate time to work on mitigating actions, to deal with changes in FX or changes in commodity effectively, their bosses working and helping us right now because they have the predictability of 2015. And then as we plan for 2016, I want to do a bit regardless the scenario have going forward. I just said we are not providing specific guidance, of course it will be a negative effect based on next year but an improvement way of cost size, it's going to be partially offset by lowering commodity price, I mean we know that the market price for both. And I think Bud Light, I mean, we – spend of the fall, heavy this time should we act – be it through our policy of putting price inflation for instance, we talk about top line now which at least stays. I mean a 9% increase as opposed to a 6% increase that we had to recently. And actually, part of this inflation hike is linked to this very same depreciated BRL or be it through cost efficiency as we adjust our footprint, accelerate the remaining projects. In the list of things we normally do, in other day our goal is to protect our profitability despite this current evaluation. Mourning quarter is a sustainable way, as we did many times in the past, I mean the good moments which does some wonderful decisions than the ones you have right now. So if much of the fall is part of this strategy turning to time we're going to provide more specific guidance.
Lauren Torres: That's very helpful and if I could just add from the follow-up Bern to that response. The DBR [ph] category has been somewhat resilient like the downturn so I'm just curious to get your perspective as you talk about protecting profitability. And I know pricing is the only component but do you feel that there is room for more pricing? As I said, it's been resilient but at the same time the consumer seems to be just weakening even more. So, is there a more upside on that front? Do you see that?
Nelson Jamel: Yes, I think – in the end, I think we have to catch on debt, I mean when he talked about the portfolio with the same time we are of course sticking to our bolus of good price in line of inflation, this is on average so what we do at the same time is while we leverage for instance on premium brands, I think a lot on the actions [ph], and it's an also an upside for margin. We are also investing on affordable packs, so the whole point about that return progress model is pre-recovered, and we see them grow even faster. I think that's an message as well, this quarter the wait for forge will grew over one way when contractual to a year ago, and I think that's a leak in also this scenario. So having returned the west model, specialty mill leader roll out in the off brands is unlike 15% of our firm has sold to supermarket. So it all – put that altogether, you can benefit from this positive mix impacting premium while protecting volumes in a profitable way with returnable glass bottles. We talk good for consumers, right, they can – especially in touch times, they won't have this vented of being last for their preferred brand and then what we see clearly going on. The market in a way helped consumers see bridge stuff of macro moments. So that's how we play with the portfolio to protect volume growth. And then one more – I mentioned before, the mix of regions are very, very important so having a portfolio – a strong portfolio like we have, it cannot fly this much volume in the different countries that we have within a year. So Brazil is very big, so it goes to – you know that San Paulo is more final, develop market, better you go to the northeast, completely different. They have impacting in the portfolio that we are applying in each region and their volume of opportunities that you have in each region. So mix of regions are very important as well. So mixed amount overall – help with us a lot in this quarter in terms of net revenue opportunity to help in the future.
Lauren Torres: Very clear, thank you.
Operator: The next question comes from Thiago Duarte of BTG. Please go ahead.
Thiago Duarte: Hello everyone, thanks for taking the question, I have two questions actually. First one, going back to the Brazil beer pricing discussion, I understand that you have three backs there and you think in terms of net revenue per hectoliter growth, right. You have the price increase, you have the mix that is improving and you have the easy comps for your last year promotion. So, I'm worried about this last aspect of your revenue per hectoliter, I mean you provided this hand for us in order to understand how volume performed during the quarter, considering the World Cup. Is it possible the understand how much pricing performed, considering the World Cup how much the promotions from last year and the different mix from last year World Cup impacted. So that we understand how much is your ongoing and underlying mix performing going forward. So this will be the first question. And the second question is regarding working capital, I know this question was asked several times before but you keep performing really well in terms of cash conversion cycle, you keep walking a lot of cash from working capital. So I would love to hear from you guys what kind of initiatives are taking place, is that sustainable, can you improve it even more going forward, it would be interesting to hear. Thank you.
Bernardo Paiva: So Thiago, let me try to first breakdown the net revenue profit growth that we saw in the quarter, right. I mean, as we said an important of it is our putting pressure in lot of inflation. So very moderate inflation was running around 6% and I was running around 9%, so in nominal terms it is higher, so that's bottom part, actually the number one. And then for the real growth, I mean above inflation, this quarter – actually in the first quarter we read that, maybe we might remember to said, I think we grew around 11% and we said that, the real growth was only driven by premium mix of mix agenda but mainly premium as well as higher track distribution. I would say that this quarter the contribution from premium and near beer mix was pretty much the same. So roughly half of the real growth was driven by this sponsored mix management impact, and half of it was pretty much basic comp-off the World Cup. I mean another way to talk, think about it, you might remember last year our revenue correctly either grew below 4%, try to overlook the key [ph] of the two years, it is 9% in compared to the 13%, two years is 9%, each year on average with again inflation plus bottom mix. So that's a way to understanding back of the basic concept of the promotion activities linkage in the World Cup. And I think that Thiago there is one more thing and I'd like repeat what Jamel said but doing this, I mean – doing a price increase in line with inflation, our mantra for many, many years, and the spending data at the regions, at the brands, and relationship between one way and returnable, it seems that we have been doing a very good job in terms of adjusting the pricing tree in moments like that to assure that we have good profits and profitability, and a better marketplace for the industry and for us in the long term boosting the RGVs. So having doing that and having doing very ground alone that for channel, for region, and per brand. So I think that's a good point because it's not only good for short term but good for the long term because we start to really have a better industry for everyone including us. And then continuing with the second question, I mean the working capital, I'd say we are very pleased with the result and have a very strong free cash flow with a result all of our production performance but also boosted by this working capital measure and again, higher cash flows, higher returns in the end of the day. I continue to focus there the same way we just this greater approach on price and mix and region suite, we started to do the same and wait for some time, we're now working capital, we tend to send the drivers, the behaviors, with onus targets incentives, I mean the full package and the potential – when the bench mark ourselves against what is order zones, within ABI, we seek gaps, so we work to close them all but we evolving, no doubt in the right direction. One thing that's actually helping is that from a payable side for instance, as we continue to maintain – I mean what are topic investments, this helped by the mix as we can imagine, I mean one has to pay as a service which are labor related, it would pay as everybody in 30 days. Bolus [ph] by equipment, expressing that defilminating let's say, market, we are able to cut better deals not only in price but also in turns. Again, this CapEx mix helps the longer payables, the same with conveyed I mean really big dive and see what we can do better in terms of optimizing the supply chain after many years on increasing SKUs, increasing number of sites, actually loss a little bit some fees because of this growth, and other opportunity with growth year-over-year, actually quarter-over-quarter. The same old account receivable management, so it's really – there is no silver bullet, it's really one-by-one but we continue to see opportunities as we benchmark and stretch the targets here.
Thiago Duarte: Very helpful, thank you very much.
Bernardo Paiva: You're welcome.
Operator: The next question comes from Andrea Teixeira of JPMorgan. Please go ahead.
Andrea Teixeira: Thanks, good afternoon everyone. Thanks for taking the question. I just want to – basically three questions please. One is on the trade down, I think we haven't seen probably the worse yet and how can people trade down the liquid into [ph] or how can you protect that vendors [indiscernible] but we have to actually see it. And then the content of alcohol, in liquid, it is still probably one good alternative for someone who wants that content for the lowest possible price. That's the first question. The second question is about competitive environment. In OID, we are pretty higher cost but it doesn't seem that your competitors are probably following the one we see like from your 7.5%, from your half and half which we described being the composition of the pricing, vis-à-vis mix while you expect to be in 2016 when the potentially this makes little change. So how your strategy will be given the cost pressures it will shift next year? And the other fees, in the ABI call they mentioned about innovation pipeline, so can you elaborate a little bit more on that, is there anything big, is there a channel, is it a product, is it something that you want a common also? And time and last, I want to talk the Brazilian government talking about taxes with you and if you are practically reaching out to that given the new targets? Thank you.
Bernardo Paiva: Andrea, thanks for the question. I think the first one is very good, I mean, a question that trades down. Actually see, these are opportunities, not big opportunities for us in order to really expand RGB, returnable bottles. Yes, you're right, I mean seeing that to have been doing that and have been doing that great in the last year but not in those trade channel. And then, I mean we are boosting as be in there off trade. I remember, I mean 9.96, 9.95, 90%, 80% of the volume that we signed up, that we sold in the off trade or even not beginning [ph]. Once we've done off trade and it seem that this would go to this level, but I mean, one year and half ago it was almost zero, so we are now 15% of the four point. We can bring affordability, and we can gap this trend of trade downs, I mean because of the external requirement, yes, the model from Ivan we have there through our main brand. So that's a good deal for everyone because you can't enjoy cold, that's you are the beloved brand here, the brand that you prefer or Bremer [ph] and that depends on the specific region with a very good price point, in Day 1 trade in the off trade. And that's our mix of returnable bottle are growing as well. I think that I've sort in the best to see look, Brazil was – I mean this is a country that people like brands, they like to connect with brands, the only price we not sell here to have the beloved brands and a very, very good pricing plus pet price strategy with a biggest focus even more in terms of the price point discipline clock-by-clock. So I see as a opportunity that only in moments like cries like that you can really push and the returnables will grow even more driven by the most important brands that we have. So I think its right opportunity for us. The competitive environment, I mean, we cannot talk, sort about that and what a future in terms of – I think the last question was linked to the innovation of land. Innovation, there was one above the net revenue for 2016, I can repeat the same answer there before, I feel inflation as usual and they don't expect a mixed opportunity to help us. And the innovation pipeline, we have a strong one, and we prefer to do bigger things, not I mean many, many new use sometimes we put there – you use just to reinforce them other brand but we hope apply bigger things going forward and really went to really – relevant to assure that those bigger things will work and also long term six months for gases innovation we'll go to another one. So that's why we are really gap copied sense with sense for instance. A full year of 4% fast and then we have Mark to come. So they might set of innovation is not only in terms of liquids or products, it's in the four company. In terms of tweak programs, like how to bring it a tenement to the box, to the point of sale because we know that are enjoying more, they stay more in the bars, so we have our micro events and more things to come, and this is a sense that is called draft. So we are breathing draft, we are experiencing larger scale in Brazil for the first time. So it's very interest not only people right there. And they've liked experience of drink drop beer. So we always said internally, the operational excellence be even more as Mark, and even more operating, even more excellence that will be now-a-days, will be a big operative plus for us in the years to come because not only camp operate the fees to do now-a-days our main brand but you can add complexity, and do this, do this in a perfect way so in every area. And again, including the cost side as well, I mean it's exactly your question but we will continue to drive no work to find a no working money and even that to invest behind our brand. So operational excellence such every part of the company co-working capital to the cost, to the CBD, and to assure that you go limb and doing those 1:4 top line growth and EBITDA growth.
Andrea Teixeira: Okay, thank you.
Bernardo Paiva: Thanks, Andrea.
Operator: The next question comes from Alex Robart of Citi. Please go ahead.
Alex Robarts: Yes, hi, and thanks for taking the question. Actually, for me as well, I guess I had to thinking first of all about Brazil beer, and then secondly, LAS. One of the five pillars that you layout here for the outlook in the press release is the accelerate premium and it kind of sounds counterintuitive as we think about the back half of the year and what's going on just generally with the Brazilian consumers, but if they could kind of comment on specifically where you see impact coming from initiatives to accelerate these premiums beers. In other words, is it fair to assume that this segment will continue to outperform or what you're seeing your mainstream growth and we were recently in Brazil and noted that Corona was both, on and off premise. How is that been going this year? And touching on craft, I know it's very small, you made some initiatives in the first part of the year with acquisitions, if you could kind of comment and touch on the craft part. So again, what specifically can we think about as far as what you might be able to do to accelerate the premium in the second part of the year?
Bernardo Paiva: Alex, thanks for the question. I see that linked to the trend of premium, it's a megatrend, it's everywhere. I've been working the last eight years outside of Brazil, very close to US market, China market, European market, and you will see that premium rate are growing and they are growing because this is a niche space and the trend that people ask for that. And this is happening here, continues to happening including this quarter, even if the tough comps premium goes way ahead of the industry premium brands. So this continues to help – to happen, and we arrive here in Brazil even more. So instead of reactive for this strength, we'll boost and because it is good for the business, a good quarter, to do that portfolio – so that's why I mean you have the international global rents I would say, Corona and Budweiser and Stella is doing great, and the domestic agreement that you call – I mean original is that I mean it's all flagship on this and we have some – that went to our mix, that's important for some specific points for some specific states. So which was risky and then instead of that innovation will be important as well. So in near beer it's a one front but not only that. So I see for the future that premium can work, can help us, even more because – again, as we've said before, this megatrend if what follow that we have, we are strict, we are stretching ourselves into something we could in the market to really assure that to take no work and money for same areas of the company in the best structure to reassure that have customize it execution for those brands in the field. And even in the outlooks of the industries that are not doing well, not performing same, but you have a simple – that is speaking in a simply way, okay, premium beer is expensive, how much BRL4/BRL5/BRL3 a bottle, we are not taking about BMW or a car that you're trading now for BMW. So if for the people that will have the money to for premium brands, they still have. So it's somewhat an elastic industry, this premium because in any of the day we are not taking bottle and huge [ph] on this. So basically, and again, we have lots of opportunities in regions that bring are not well placed in the moment so we will be into the future. So I'm bullish about our premium portfolio and the premium route in the second half and in the future.
Alex Robarts: Okay, very helpful, thanks. LAS, almost 20% of your group EBITDA in this quarter and a good chunk of that, I guess half is Argentina. And we've been seeing other average company's post very good numbers in that particular market. You're up 40% currency neutral in LAS if it's done this first half of the year, 61% this quarter, talk to us about – I mean, fair enough whether you talk about easy comps in the quarter, help in LAS but it seems to be that there has been kind of a resurgence in demand, I guess construction projects, pre-election related to public works, I mean, can you talk a little bit about the Argentine beer industry, the prospects for the second half? Can we see LAS grow in these rates that we've seen in the first year on a currency neutral basis? That's the second question. Thanks very much.
Nelson Jamel: Okay Alex, Nelson here, thanks for the question. I think you – 70 points in a question, right I mean of course you've seen, I mean one is back to positive territory and big time. We wonder a bit of an easier call, what was actually was down high single digit last year this quarter but it is also like whether help but we also had and that's the same way we talked a lot about Brazil here. I mean we had the same commercial platforms in there, and now Athena, very similar to be honest. So for instance, incremental volumes from near beer initiatives, actually they are performing even better, at this stage, no wonder mixed day launch was a success but the non-cadre launch of mixed day will cut it right on the flavor along with lemon and also strawberry. And they already present 2% of volumes in the country, less than six months. It's amazing, I think a great result, and it will produce growth, again its great intimate value. So the combination of overall – although stood up getting there as well, I mean regarding – environmental head loans, some improvement on important indicators and inflation those two, declining called sugar comp, that's an important one, getting back to better and moreover. I would say as well, that we are usage operates in such environment, and I discussed in the past, I mean we strong brands, strong team, we continue to use our full two kit and lot of initiatives but also to manage cost as we are responsible. So we really believe that after this stuff, well tough then by the way, we took the opportunity to become even more efficient, leaner, but while going through this also impacting behind our brand new veteran commercial platform. So I think we are right now in the moment of positive trends, in a way I think it's important to emphasize the Q2 result. There was a quarter for [ph], don't think this result extrapolate for the rest of the year because that will be too optimistic but for sure, we are not positive trend, great team, great brands, great execution, and overall environment getting better although it still does, I mean high inflation and all the rest.
Alex Robarts: Got it. Okay, thanks very much.
Nelson Jamel: Thanks, Alex.
Operator: The next question comes from Rob Ottenstein of Evercore. Please go ahead.
Robert Ottenstein: Great, thank you very much. A couple of quick questions. In the introduction, you mentioned that you had or will be making technology investments to drive greater productivity. Can you just give us a sense have those investments been made now with the timing on them and the rough order of magnitude please?
Bernardo Paiva: Rob, hi, thanks for the questions. I think it's not exactly in terms of being – in terms of the CapEx that will be relevant here but how we use those, and then those investments will have now-a-days and be smart in using apps, in using not only the big hardware but great deeper working hours and in the marketplace and our brews to really assure that our team in the field, we will have that solution, ultimate target solution, algorithms and things like that, to really assure that they are more efficient in their work day-by-day. So it's used, the hardware that you have now-a-days, we think that's a little bit more in terms of CapEx here and there, but the guys – CapEx remained the same. But much more linked, the process that what we have and how we can use in a more smarter way, better software's, better – I mean even better people working and expanding the process, bringing apps, bringing a solution to be more efficient. Let hardware and software more thinking in terms of integrating process to technology. So, I mean having doing this for many, many years, I really – I mean bullish about that and it leads to operational efficient excellence as well.
Robert Ottenstein: Okay. So, should I take this that we shouldn't see some noticeable pick up in investments on this?
Bernardo Paiva: No. I mean CapEx guidance remain the same.
Robert Ottenstein: Great. And then I think last year you started talking about building out your premium focus salesforce, having a separate salesforce in Brazil, focused on the premium brands, focused on premise, has that – is that build out largely done now? And can you give us a rough idea of either how many people does that involve and or what percentage of your overall salesforce?
Bernardo Paiva: So, I think – I mean, yes, we have been building execution dedicated team in some parts of the business and mainly their percentage and then we continue to grow. But it's more – when we think about the steps of sales, it's not only – I mean this is just the order taken by outer prospect how to execute, how to bring experience. So you can use the backbone that you have now-a-days and a specific builder of fox who bring a special team that sometimes would take the order, sometimes not. So sometimes people always think about the sales of the order taking, it's much more than that, and again, it's the how to prospect, how to close deals, how to take the order, how to active bridge that market with experience through that and build grant and likewise. So we actually define those steps of the sales and then we allocate that resource according. So we can have one guy who is looking to take the order, and the other guy visiting at night to activate that specific grant for the specific targets customers that are important for that brand. And how we do that, sometimes people ask, okay, you ask people or not ask to, I mean how many people, we are looking that in one part of the step sales and you can take on the other one. In beginning of the date, you can have the win-win, it's – I mean be linked, be more efficient of course, and even though providing a better solution in terms of service and vendor activation. If you know your customers, if you know your brands and you know how to activate those brands in a specific clusters, and we know those points as I just talked to.
Robert Ottenstein: So, should we take this initiative is largely done now in terms of building out the separate capability?
Bernardo Paiva: It's evolving, I mean, we start from the urban centers but still have opportunity and then we continue to do as the portfolio rules and remind that that's not only the structure about how the brand has focused well, and have the reminder have many Brazil in side one. So we approach the country as – some countries in side one, and we are over the portfolio and the structure and everything according to that. And that's why – and in order top line initiatives that I mentioned to you before.
Robert Ottenstein: Thank you very much.
Bernardo Paiva: Thank you, Rob.
Operator: The next question comes from Carlos Luboy [ph] of HSBC. Please go ahead.
Unidentified Analyst: Good afternoon, everyone. Two – to keep within your market share guard rails, it seems like you have to almost shrink your mainstream volume because some of your competitors are either effectively collapsing as we speak or because others are too weak to invest and to grow mainstream. So the two questions I have are one, how do you keep your mainstream brands fit and strong in a weird environment or you have to shrink mainstream and debilitate volumes because weaker volumes can't – some of your weaker players out there can grow volumes? The other question is, would you be leaning on the price lever this hard if you were free to chase all the profitable volume and all the higher scale that this market can offer, in other words, if your competitors could keep pace with you?
Bernardo Paiva: So, mixed sort of question. First question, we don't speak about the other guys what you are doing there until unless our core brands – I mean have been doing as we always did and the passion continue to do. So I think we talk about premium, we know how to – and we are learning and doing much better how to execute our premium brands, and they are not getting those learnings for their core brands. So, if you have an advance for super premium brands, we'll have I mean, for score the summer long events, so we reexperiencial bringing back campaigns. We touch the passion points that we know that we'll leverage the brand equity and we continue to invest, I think that's the moment those beloved brands to be closer to the people in a moment like that, that I mean the country, the marker is not helping score from Antarctica will be closed to them, and if that in carnival in Sao Jose and approach, in an efficient way, linking that top line activation, over the line activation, below the line activation in that integrated way. So it seems that it's a great opportunity to reinforce that effort of the core brands in moments like that because we are close to the people in moments that the axe will be out there. So for me a great opportunity. The other question Carlos, could you –
Unidentified Analyst: Is, would you be leaning on that price lever this hard if you were free to chase all the profitable volume in higher scale that this market can offer and if your competitors could really keep pace with you and refill all bottle investments and in chasing affordability, there is so much volume to grad in Brazil.
Bernardo Paiva: It seems that – I mean, we are not going hard in terms of price, we are going in line of inflation, all the difference that we will – both, the inflation and [indiscernible] before and there is some part of mix, half of mix and half of the promotional second quarter of last year, there is a more activation doing the forward cut. I think that we have always had for 25 years and much of the pricing line with inflation. If the other guys will follow us or not, we will keep that in force ourselves to do even bad items of the [ph] in terms of brand building to really assure that you'll be in our range of market share that we are and growing, having an opportunity out there. So I don't see – I mean, the numbers that don't show this time, I mean both in terms of price as I said but in terms of volume, I think Brazil is a great country and then despite of the performance, doesn't have been now-a-days as you come back, I mean many, many times come back, I was in 9.92 - 9.93 and in the company, 9.98 in 2002 and 2003 and 2009 and 2008, so that's – and this will come back and I think that you can exit this tough moment, even better shape with this strong core brand, rating premium if I can be returnables be even a stronger, that's why, I mean you are here, here for the short term but for the long term as well, and I'm really confident that – delivery what we need.
Unidentified Analyst: Thank you.
Bernardo Paiva: Thank you, Carlos.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Bernardo Paiva for any closing remarks. Thank you.
Bernardo Paiva: So thanks everyone for the questions, great ones. I think that the final message is, I mean we know that the macroeconomic environments aren't helping us, and again, just remind ourselves on the first as if just have had before that this happen, have a great team year, seem to have user to operate in tough environments like this many times in the past, and I think that's open to learn as well for this gaps that you have and how we can evolve. And learn from all the experience that we have outside Brazil or the company's as well, and for the best that we are doing here. So, I think that this both things, I mean the will to performing moments like that and knowledge to performing in moments like that. And understand it's an opportunity to really do things that only the price allow us to like bring returnables for a better place like our core brands who are better placed in even more closer, our dream shaping the channels and the occasions in their right way with trait programs like we said, like addressed. So it's a great opportunity to not only to navigate in the short term but really exit in smart economic environment. That is not so good one that we will come back and it will be good for sure like Brazil has always had, and the make it much, much better place. So, I think that we are very confident here with the team and I'm confident that you can deliver. So this year and the years to come, this strategy that we just shown to you before in this pitch. And overall, the guidance is unchanged. So that's the final words. Thanks for your time, and see you next quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.